Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Aspen Technology's First Quarter 2013 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Mr. Mark Sullivan to begin. Please go ahead, Sir. 
Mark Sullivan: Okay. Thank you. Good morning, everyone. Thank you for joining us to review our first quarter fiscal 2013 for the period ended September 30, 2012. I am Mark Sullivan, CFO of AspenTech, and with me on the call today is Mark Fusco, President and CEO. 
 Before we begin, I will make the usual Safe Harbor statement that during the course of this call, we may make projections or other forward-looking statements about the financial performance of the company that involve risks and uncertainties. The company's actual results may differ materially from such projections or statements. Factors that might cause such differences include, but are not limited to, those discussed in today's call and in our Form 10-Q for the first quarter of fiscal year 2013, which is now on file with the SEC.
 Also please note that the following information is related to our current business conditions and our outlook as of today, November 1, 2012. Consistent with our prior practice, we expressly disclaim any obligation to update this information. The structure of today's call will be as follows. I'll begin with a review of our financial results for the first quarter, and then Mark will discuss some additional business highlights before we open up the call for Q&A.
 Let me begin by reviewing the supplemental metrics that we provide, starting with our term contract value, or TCV metric, which measures the renewal value of our multiyear term contracts. Growing TCV is a key focus for us, and we increase the value of the metric by adding new customers, expanding product usage and increasing prices across our customer base. Our license-only TCV was $1.5 billion at the end of the quarter, which was up 14.7% compared to the first quarter of 2012 and up 2.3% on a sequential basis.
 As a reminder, beginning in fiscal 2010, maintenance is generally included as part of our subscription and term contracts. Including the value of bundled maintenance, total term contract value was $1.72 billion at the end of the quarter, which was up 17.6% on a year-over-year basis and up 2.6% sequentially.
 Our annual spend, which is a proxy for the value of our recurring term license business at the end of each period, specifically the annualized value of our term license and maintenance revenue, was approximately $312 million at the end of the quarter, which is an increase of approximately 13.9% on a year-over-year basis and 2.5% sequentially.
 As a reminder, the growth of our annual spend metric should be slightly lower than the growth in our license TCV metric. License TCV is calculated using each contract's terminal year annual payment, and therefore takes into consideration the total price escalation over the course of a multiyear time period, whereas annual spend only takes into consideration the current level of spend. However, during any quarter, such as the first quarter of fiscal 2013, there can be a level of variation between the 2 metrics due to the timing of invoices. Now let me turn to our quarterly financial results on a GAAP basis.
 Total revenue of $71.5 million was up 40% from $51.2 million in the prior-year period and was above the high end of our guidance range. Our reported revenue included a couple million dollars of unexpected cash basis revenue associated with certain customer payments that were collected in the first quarter that we previously anticipated would be collected during our second fiscal quarter. 
 Looking at revenue by line item. Subscription and software revenue was $54.1 million for the first quarter, which is an increase from $31.9 million in the prior-year period and $45.8 million last quarter. In order to provide further transparency into our consolidated subscription and software line, we provide some additional details on the components within subscription and software that have quarter-to-quarter variability. During the first quarter, we had $2.2 million of revenue related to legacy term license arrangements not recognized on a daily basis and approximately $700,000 of perpetual license revenue.
 Our growing subscription business positively impacts our deferred revenue balance, which was $180.5 million at the end of the first quarter, representing a 33% increase compared to the end of the year-ago period. On a sequential basis, deferred revenue declined approximately $6.6 million. Given where we are in our revenue model transition, we expect that our deferred revenue will be down sequentially in the first half of the fiscal year, followed by significant growth in deferred revenue in the second half of the year.
 This seasonal pattern is due to the same factor that drives the seasonality of our cash flow, the timing of when we bill our customers. For the full year, we expect our deferred revenue to grow at a solid rate, which is one of the components taken into consideration in our guidance for solid cash flow for fiscal 2013. On a quarter-to-quarter basis, we believe it's more meaningful to look at the growth in our annual spend and TLCV to evaluate the pace of business during the quarter.
 Finally, services and other revenue was $17.4 million compared to $19.3 million in the year-ago period and $18.2 million last quarter. Consistent with our previous commentary, maintenance revenue is increasingly being reported within the subscription revenue line as more contracts are converted to the aspenONE subscription licensing model.  As a result, we continue to expect the run rate in our services and other revenue line to be variable quarter-to-quarter, but trend downward as our revenue model transition completes.
 Turning to profitability. Gross profit was $59.1 million in the quarter with a gross margin of 83%, which compares to $37.4 million and a gross margin of 73% in the prior-year period. There can be some variability in gross margin on a quarterly basis as we complete our revenue model transition, but we were pleased to deliver a first quarter gross margin that was consistent with our long-term targeted gross margin of 83% to 85%.
 Operating expenses for the quarter were $50.2 million compared to $53 million in the prior-year period. Total GAAP costs, including cost of revenue, were $62.5 million, which was down from $66.9 million in the year-ago period. Sequentially, expenses were down from $67.6 million last quarter due to normal expense seasonality and good expense management.
 Operating income was $9 million for the first quarter of fiscal 2013, an improvement compared to an operating loss of $15.6 million in the year-ago period. Net income for the quarter was $4.4 million or $0.05 per share compared to a net loss of $11.7 million or $0.12 per share in the first quarter of fiscal 2012.
 Turning to non-GAAP results. Excluding the impact of stock-based compensation expense, restructuring charges and amortization of intangibles associated with acquisitions, we reported non-GAAP operating income for the first quarter of $13.4 million and non-GAAP net income of $7.3 million. This represents an improvement from a non-GAAP operating loss and net loss of $12 million and $9.2 million, respectably, in the year-ago period.
 Our non-GAAP EPS was $0.08 in the first quarter of fiscal 2013 based on 95.7 million diluted shares outstanding compared to a non-GAAP loss per share of $0.09 based on 94.1 million shares outstanding in the first quarter of fiscal 2012. The difference in share count on a year-over-year basis is due to the fact that we reported a GAAP profit in the first quarter of fiscal 2013 and therefore used fully diluted shares to calculate EPS. A reconciliation of GAAP to non-GAAP results is provided in the tables within our press release, which is also available on our website.
 It's also worth noting that now that the company is reporting profit on a GAAP basis and it's our expectation that we will generate growing profitability on an annual basis moving forward, the pre-tax value of our tax assets, which includes our NOLs, is in the $200 million plus range. And as we've shared in the past, we expect that tax benefit to shield our U.S. sourced income from cash taxes for several years.
 Turning to the balance sheet cash flow. The company ended the first quarter with $163.4 million in cash, a decrease of $1.9 million from the prior quarter. We used $17.2 million of cash to repurchase common shares during the first quarter and continue to reduce our secured borrowings balance as I'll detail in a moment. As we announced earlier this morning, AspenTech's Board of Directors has authorized the company to take its stock repurchase authorization back up to $100 million. We ended the first quarter with $49 million remaining on our prior $100 million stock repurchase program, so today's announcement represents a net increase of $51 million in capacity.
 From a cash flow perspective, the company generated $18.5 million of cash from operations during the first quarter and $18.9 million of free cash flow. This was well ahead of our expectations due to stronger than anticipated collections activity. Free cash flow was higher than operating cash flow during the quarter due to the fact that our capital expenditures were more than offset by $2.2 million of insurance proceeds related to damage in our Houston facility during fiscal 2012. 
 Including or excluding the insurance proceeds, it was a very strong performance in what is a seasonally weaker cash flow quarter for AspenTech. By comparison in the first quarter of last fiscal year, the company generated $4.7 million in free cash flow. The company once again did not sell any receivables to raise cash during the first quarter of fiscal 2013, and we ended the quarter with total secured borrowings of approximately $5.6 million, which was down from $11 million at the end of the fourth quarter. We expect that we will fully retire our secured borrowings during fiscal 2013.
 With that, let me turn it over to Mark Fusco.. 
Mark Fusco: Thanks, Mark, and thanks to everyone for joining us today. The first quarter was a strong start to fiscal 2013 for AspenTech. As we have discussed in the past, the first quarter is always a seasonally weaker quarter. We have the summer months, we are coming off what is typically a seasonally strong fiscal fourth quarter and we are currently facing a more volatile global economic environment. All things considered, I'm very pleased by our total license contract value performance, which grew 2.3% sequentially and 14.7% year-over-year.
 This compares to 2.2% sequentially and 12.3% year-over-year growth in the first quarter of last year. While there can be variability quarter-to-quarter in geographic performance due to the relatively small number of deals we sign in a period, we saw balanced performance across all our geographies, including Europe.
 Our business remains strong in our big 3 verticals and across our major product lines. Energy, chemicals and engineering and construction continued to represent 90% or more of the company's business during the first quarter. For the second consecutive quarter, engineering and construction represented the largest vertical contributor, followed by energy and then chemicals. As we said consistently in recent quarters, no software company is immune from macroeconomic headwinds, particularly if they were to become more pronounced. However, we have yet to see any material impact to our performance from the macro environment, which is evident from the strength of our TLCV.
 Our unique business model, which combines 5- to 6-year contracts, a market-leading position, a blue chip customer base, and mission-critical operating applications offers a degree of insulation from macroeconomic pressures. During difficult times, it becomes all the more important for process manufacturers to optimize their processes and squeeze efficiencies to improve their profitability.
 Looking at our 10 largest transactions in the quarter, it was again a mix of engineering and manufacturing and supply chain-driven deals. While our aspenONE platform is the most widely deployed solution in the industry, most of our customers are still only using a fraction of the functionality available to them and very few are utilizing AspenTech across all the engineering, supply chain and manufacturing solutions we provide.
 Our focus has been to make the user experience inside aspenONE simpler and more consistent in order to lower the barriers to increased utilization. We are excited about the trends we are seeing in the business in terms of adoption and customer usage and think we have a significant runway to drive both wider and deeper adoption within our customer base. We believe our unique platform approach, which gives customers access to all the functionality of the aspenONE platform, is a simpler, more efficient sales model that can drive faster customer adoption and usage.
 One of the ways to drive increased usage is to expand the number of application modules that are part of the aspenONE platform, both through internal development as well as through M&A. During fiscal 2012, we announced the acquisition of SolidSim, which brought us simulation software for modeling complex solids processes. We are currently adding SolidSim's capabilities into our aspenONE suite. 
 During the first quarter of fiscal 2013, we made our second technology tuck-in acquisition with the purchase of PSVPlus software. This innovative solution will also be included in our aspenONE product line, enabling our customers to optimize the design and production of their pressure relief valves. In process plants, there can be unforeseen events that raise plant equipment pressure to unsafe conditions. Overpressure protection systems ensure that there is an appropriate relief provided for plant equipment if the pressure exceeds safe operating conditions, and relief valves are important components in the plant overpressure protection system.
 PSVPlus is used for the modeling of relief scenarios and sizing of the relief valves. Many of PSVPlus' customers are also AspenTech engineering software customers, and their solution is used in the engineering and construction oil and gas, refining and chemical industry.
 AspenTech has a proven value proposition and strategic relationship with many of our customers, which provides us with an attractive opportunity to go back into our customer base with additional capabilities. We believe that acquiring innovative technology and integrating it into the aspenONE platform is an effective use of our cash balance, and we expect to remain acquisitive going forward.
 We plan to remain disciplined in our approach to acquisitions just as we are from an overall expense management perspective. For example, in the first quarter, our annual spend grew approximately $38 million on a year-over-year basis or nearly 14%, even as our total expenses were down approximately $4 million. While we anticipate expenses will increase modestly in fiscal 2013, we have an operating model that is highly scalable and continue to believe we can deliver 30% to 35% non-GAAP operating margins when our revenue model transition is completed.
 Our growing profitability and cash flow is expected to put AspenTech in a good position to return capital to our shareholders over time. In the first quarter, we purchased $17 million of common stock, which was up from the $3 million -- up $3 million from the fourth quarter of fiscal 2012. Today, we announced that our Board of Directors has authorized the re-expansion of our authorized capacity back to the $100 million level, which is an effective increase of $51 million based on our buyback capacity at the end of the first quarter. We will continue to monitor how best to use our cash flow to enhance shareholder value, a combination of stock buybacks and M&A.
 In summary, we got off to a solid start in fiscal 2013 and are optimistic in our ability to generate double-digit TLCV growth while continuing to scale our profitability and free cash flow. We are optimistic about our outlook and believe we have a strong market position to capitalize on the growth opportunity in front of us. 
 With that, I'll turn it back to Mark. 
Mark Sullivan: Okay. I'd like to close with thoughts regarding our financial outlook for fiscal '13, as well as guidance for the second quarter. Before doing so, I'd like to reiterate that even though we are now past the halfway point of our revenue model transition, our P&L is still not a meaningful indicator of our business performance, and it won't be until after our revenue model transition is complete in fiscal 2015. 
 With that said, we expect second quarter revenue in the range of $66 million to $68 million. You might remember from last year that our second quarter included approximately $4 million of cash basis revenue from contracts where payments were due near the end of the quarter. Our guidance for next quarter assumes that the cash associated with these transactions is not collected until the third quarter, even though collections on those transactions did occur during the second quarter of last fiscal year.
 I'd also remind you that from a year-over-year comparable perspective, last year's second quarter revenue also included approximately $6 million from a license transaction that was recognized on an upfront basis because the customer had the right to renew on our prior commercial model terms. Nothing comparable to that transaction is expected in the second quarter of this year.
 From a profitability perspective, we currently expect non-GAAP operating income of $6.5 million to $8.5 million and non-GAAP EPS of $0.04 to $0.05. On a GAAP basis, we expect second quarter operating income of $2.5 million to $4.5 million and EPS of $0.01 to $0.02. As it relates to full year fiscal 2013, we're increasing our revenue guidance to $285 million to $295 million, an increase from our previous target of $280 million to $290 million.
 From an expense perspective, we are lowering the high end of our guidance for total GAAP costs and expenses to approximately $265 million to $275 million, which compares to our previous full year target of $265 million to $280 million. Taken together, we now expect GAAP operating income in the range of $20 million to $30 million for fiscal 2013, which is an increase from our prior guidance of $5 million to $15 million. We now expect GAAP net income of approximately $10 million to $16 million, or $0.10 to $0.17 per share, which is an increase versus our prior expectation of $5 million to $10 million or $0.05 to $0.10 per share.
 From a non-GAAP perspective, we are increasing our non-GAAP operating income guidance to $36 million to $46 million for full year fiscal 2013, up from our prior guidance to $20 million to $30 million. This would lead to non-GAAP earnings per share in the range of $0.21 to $0.27 for the fiscal year, an increase from $0.16 to $0.21.
 With respect to our non-GAAP metrics, we are not updating our guidance at this time as we are only 1 quarter into the fiscal year. We continue to be optimistic about our double-digit growth guidance for total license contract value based on continued high customer interest levels and our strong start to fiscal 2013. 
 From a cash flow perspective, we continue to target free cash flow of $115 million. Our cash flow continues to be positively impacted by the underlying momentum in our business, along with our focus on expense and working capital management. We continue to expect our free cash flow to be substantially weighted to the back half of the fiscal year, with the third quarter being the largest contributor to free cash flow. The cash flow seasonality, as we've discussed previously, is due to the timing of when the invoice customers and their payments become due. 
 To summarize, we began fiscal 2013 on a strong note and believe we are well positioned to maintain that momentum throughout the course of the year. With that, we're now happy to take your questions. Operator, let's begin the Q&A. 
Operator: [Operator Instructions] Your first question comes from the line of Sterling Auty of JPMorgan. 
Sterling Auty: So a couple of quick questions. First, given we just had the hurricane blow through, there's reports of damages to some of your customers in the energy sector. Just for people that might wonder, do you expect that to have any impact on the coming quarter for any reason? [indiscernible] Mark Sullivan, just so I'm clear, you had the $2.2 million of contract under the old terms, then there's the comment about a cash basis. Can you just connect the dots so we make sure that we're looking at the numbers correctly? 
Mark Sullivan: Yes, I mean, we have -- most of our business, because of the quality of the credit of the customers we do business with, just gets recognized as the invoice becomes due. That's the trigger to start recognizing revenue. But we do have customers around the world where because of the rev rec rules, we have to take it on a cash basis. And so in any particular quarter, we sort of have some of that business. And when we put together our guidance for Q1, we expected a number of those to be collected in Q2. We actually collected them ahead of our expectation. It was worth a couple of million dollars, and it's really the primary explanation for why our actual numbers for Q1 were a bit ahead of guidance. There were a few other things that kind of went our way, but the 2 are kind of unrelated comments. The $2.2 million of legacy stuff that I mentioned is really not the same as the $2 million of cash basis revenue. It just happens to be the same number. But really, the comments about the cash basis are really the primary explanation for why we did a bit better than our revenue guidance. 
Sterling Auty: All right. Great. And then last question, in terms of the TCV growth and the annual spend growth, can you give us a flavor of -- as you look at the quarter, how much of it is further penetration in existing customers, how much of it is new customer adoption or other factors that drove the growth this quarter? 
Mark Fusco: The same as usual, Sterling. It's primarily further penetration in the existing customer set. As we talked in the past, we've got many of these customers that have some or used some of our software, the aspenONE model and licensing model transition that we're undergoing and in year 4 now. It was really about getting software into people's hands so they'll use it. It's gone extremely well from a conversion perspective in getting many and most of our customers onto the new model. And now the job is getting them to use more. So this is really what we're focused on is driving further penetration. That said, we are also active with new customers, the typically smaller ones that we're going after, to get them onto a small company version of the aspenONE model. So we are getting a bunch of new customers as well. But it's the usual story. The big customers drive the business, and they are primarily existing customers. 
Operator: Your next question comes from the line of Tom Ernst of Deutsche Bank. 
Stan Zlotsky: It's actually Stan Zlotsky sitting in for Tom Ernst. Just a very quick one on the geography. You said you're strong in -- across all geographies. How are you -- specifically in Asia and Middle East, how did you guys do there? And also, a quick follow-up on same thing for North America. Again, we've heard a lot of companies having problems with North America. So just anything you can help us with? 
Mark Fusco: It was generally pretty good. Things do bounce around region to region. They bounce around a little bit in the verticals on a quarter-to-quarter basis. So it's hard to draw any particular comparisons. But when you look back across the last fiscal year and coming into this first quarter of '13, the growth was good pretty much in all the regions. And it does bounce around a bit. We don't get too worked up about it. I think the real issue is what the coverage ratios look like for the second quarter and the remainder of the year, how do we see the business going forward. And we haven't seen, as I said in my prepared remarks, any material changes to buying patterns or things as a result of headlines or the economic macro issues that we read about everyday. We haven't really seen too much of it. That doesn't mean we won't. But as we sit here today, it was a good quarter. Everybody did pretty well. And certainly, we beat last year by a little bit. We're happy that we were in the mid-teens again for TLCV growth on a year-over-year basis, and coverage ratios look solid for our second quarter December. And so we'll see how we do. 
Stan Zlotsky: And just another quick follow-up. So the TLCV growth is actually slightly accelerated, which is something that you always want to see on a year-on-year basis. Are we entering almost this new normal for what we see in terms of this mid-teens TLCV growth? And I know you guys guided for double digits but... 
Mark Fusco: We do have guidance out there for double-digit growth. We didn't update it on this call, and we're not going to. It's a little early yet. We can read the paper, and we can see what's going on around the world a little bit. Clearly, some of our one vertical like chemicals has certainly been slower, I guess, from what you can see from earnings reports and things. So we are worried about the global economic environment as we move forward. I think it's a little early in the fiscal year yet. So I don't know about new normal. We're doing the best that we can. We're trying to get -- grow as quickly as we can regardless of what we have out there for guidance, but I think it's a little early on the guidance side. But we are certainly, as we said on the call in August, we know we're in the mid-teens now, and we certainly want to stay there. 
Operator: Your next question comes from the line of Brendan Barnicle of Pacific Crest Securities. 
Brendon Barnicle: So if we're thinking about this accelerated rev recognition collection, should we be thinking about basically $2 million of revenues that you'd expected in Q2 that moved into Q1? 
Mark Sullivan: Yes. I think that's the right way to think about it. That's essentially what happened. 
Brendon Barnicle: Right. Just to keep it simple. 
Mark Sullivan: And then of course, as we talked about, our second quarter guidance take that into consideration. As well as that other situation that we talked about last year, we're going to write out the stuff that may or may not get collected at the very end of the quarter. It can go either way. 
Brendon Barnicle: Great. And then following up on the previous question, you've seen this acceleration in TLCV. That's not something we see seasonally in Q1. What was -- what specifically was going on in this quarter where we saw that acceleration? And is there some sort of change to the seasonality pattern? 
Mark Fusco: I don't think there's any change to the seasonality. On a sequential basis, we're up 2.3% year-over-year. In the same quarter a year ago, it was 2.2%. So I mean, it's up a bit, but it's not a lot. So I think it was a good quarter last year. I think we executed well. I think we executed well this year. I'm not sure it's a new normal. I try not to draw any particular conclusions about things on a quarterly basis. But if you look over the past several years, there's clearly been an accelerated growth rate of the company and you can see it both on our TLCV and in our annual spend. We are, as I mentioned a minute ago, we're aware of it. We're certainly looking to grow as quickly as we can and make investments in various places to help us do that. But we'll see how we do. The only sort of forward-looking statement is coverage ratios look good in the quarter that's coming up. It is the end of the calendar year. It's typically a seasonally better quarter for us than we have in the first quarter, but we'll see. 
Brendon Barnicle: And then services revenues were down year-over-year. What's attributing to that decline? 
Mark Sullivan: Yes, I mean, the primary driver of that is what we've talked about is the geography in terms of the recognition of revenue. Meaning, we used to have much more maintenance revenue that was standalone, and now it's embedded in the subscription. So you really -- you've got consistently have as contracts are renewed on the new model, you see service or maintenance revenue coming down and being replaced by more subscription revenue. That's the primary driver of what's going on there. 
Operator: Your next question comes from the line of Richard Davis of Canaccord. 
Richard Davis: What kind of experience have you been seeing with regard to people that upgrade to aspenONE in terms of -- I kind of remember we talked about like there's almost the same-store sales process. In other words, we'll have take on perhaps sometimes more modules and stuff like that. So what I'm trying to do is kind of triangulate between effectively kind of existing customers sales on that metric versus kind of to some degree, new logo wins. 
Mark Fusco: Yes, it's really -- as I mentioned a minute ago, it's mostly driven by exiting customers, whether they are converting to the new model this quarter or they are buying more usage in -- they've converted maybe sometime in the past and they're getting more usage. We shared some information on that last spring when we had our investor meeting here. The trends have continued. Customers that have converted to the aspenONE licensing model are using more software and needing more usage between contract renewal dates. So I think it's part of the company's overall strategy to get away from sort of thinking about renewals as a particular driver to the growth rate and thinking about how we monetize the installed base with all customers during multiple different periods. So we are clearly seeing usage patterns change for the better, and that's resulting in more license sales or more usage sales on a quarterly basis. But it's primarily from the existing installed base, the existing customers. 
Richard Davis: Okay. And then a follow-up, I think aspenONE was introduced, I don't know, I can't remember, '03, '04, something like that. So even Windows is doing the Windows 8. Do we need an aspenTWO? Or is it we should think of this as a, in terms of at least branding, as a incremental function in future additions? 
Mark Fusco: Well, as you know, we do release software on a quarterly basis, and I like to think about the nomenclature of aspenONE or how we do the versioning really much to do about support and customer support and what stuff is under maintenance over a period of time. We're going to release as much new functionality of software as we can on a quarterly basis. We've got lots of new things that we put out in the last 12 months. We have a whole lot of new things that are going to be coming out in the next 12 months, and we do release it on a quarterly basis. So you'll be seeing a version 8. Right now, the August release is a part of version 7. There'll be a version 8 coming out here soon. But it's really about what the support is going to be over time. aspenONE is an 8- or 9-year journey of pulling all these best-in-class or best-of-breed point products into an integrated suite of software. We're there. And so I don't think we want to change the name of it, but there'll clearly be lots of new things coming out in the coming quarter and lots of exciting things that we're going to be bringing to our customers. So we're on the track with both a great, I think, road map of technology that's going to be released, coupled together with a good and -- we think a real good commercial model to support it. It works, and you can see that in the growth rate of the company increasing over time. 
Operator: Your next question comes from the line of Joe del Callar of Cowen and Company. 
Joe del Callar: Joe for Peter here. So I was wondering if I could get some of your thoughts on your emerging businesses. Obviously, chemicals were somewhat less than you'd like. If I could get some thoughts on where you see that going forward and how you did in like other emerging businesses like your supply chain business? 
Mark Fusco: Yes, as I mentioned in my prepared remarks, it was a pretty good quarter across-the-board. Things jump around a bit quarter-to-quarter. The engineering business was about normal. We usually 2/3 to 70% engineering business in the quarter, and we are right in that range again. So it was sort of a normal quarter. We were pleased with both the engineering and the MSC business. The other -- the emerging geographies, we did quite well in some of them. But again, it's hard to draw any conclusion on a quarterly basis, other than I think to note over the past year or so, the chemicals business has not been as strong as we would want it to be. But the energy business and the engineering and construction business have been very strong. So again, it'll go through cycles, and our job is to find ways to grow the company irrespective of what we see in front of us. 
Operator: Your next question comes from the line of Richard Williams of Cross research. 
Richard Williams: Could you give us some color on the manufacturing supply chain business in the quarter and also, if you could run through the geographies to the extent that you haven't already? 
Mark Fusco: As I just said, the MSC business, it was a good quarter for the MSC business in what is typically a seasonally slow quarter. We've spent a lot of time and effort and investment in building out and developing our MSC product line and software. We've been bringing a lot of new things to market. There'll be a lot of new things coming forward. And this is really a big strategic push for the company. Historically, we've been a very strong engineering company. We haven't had this higher market share in MSC space. It's very strong in lots of different markets but not in all. So this is something that we're interested in. We're spending a lot of time and effort at it, and I expect that we'll do well with it going forward here. As far as the geographies go, as I mentioned, it was a good quarter across-the-board. It does bounce around a little bit. But nothing out of the ordinary. And we were very pleased with how we came in overall, and we see a good pipeline of things for the December quarter. So I think we're in good shape, and I'm pleased with the execution of the team. 
Operator: That concludes the Q&A session for today. I'll now turn the call back over to Mark Fusco for any closing remarks. 
Mark Fusco: Thanks, everyone, for joining us here today. A little bit earlier than normal. We apologize for having to push the call from Tuesday tonight. But with the markets being closed and investors being distracted, we thought it was the right thing to do. Appreciate all the hard work of the employees here at AspenTech, and I look forward to seeing many of you at various things coming up here this quarter. Thanks again. Have a good day. 
Operator: Thank you. This concludes today's call. You may now disconnect.